: [Charlie Doe]-Private Investor
Operator: Good morning ladies and gentlemen and thank you for standing by. Welcome to the Astro-Med Fourth Quarter and Annual Fiscal Year 2008 Conference Call. (Operator Instructions)I would now like to turn this conference over to Andy Berger from SM Berger & Company. Please go ahead, sir.
Andrew Berger: Thank you, Eric. On behalf of the management of Astro-Med, we are extremely pleased that you have taken the time to participate in our call and thank you for joining us to discuss the company’s Fiscal 2008 Fourth Quarter and Full Year Financial Results and Business Outlook. Before I introduce management, I would like to remind everyone that certain statements made during the course of this conference call, especially those that state management’s intentions, beliefs, expectations or predictions for the future are forward-looking statements. During this conference call we may have made forward-looking statements within the meaning of the Securities Exchange Act of 1934. These statements are based on the company’s presentation expectations and beliefs concerning future events and are necessarily based on certain assumptions which are subject to risks and uncertainties. Actual results may differ materially from those discussed here. More information on these risks and these risk factors is included in the company’s filings with the Securities and Exchange Commission. By now you should have received a copy of the news release which was issued this morning before the market opened. If you have not received a copy please visit Astro-Meds website at www.astro-medinc.com and click on investing to obtain a copy of the company’s news release. Hosting the call today are Albert Ondis, Chairman and Chief Executive Officer, Everett Pizzuti, President and Chief Operating Officer and Joe O’Connell, Senior Vice President, Treasurer and Chief Financial Officer. At this time I will turn the call over to Mr. Ondis. Albert.
Albert Ondis: Thank you Andy and thank you everybody for participating, as Andy Berger just said. With me here today are Everett Pizzuti, President and Chief Operating Officer and Joseph O’Connell, Senior Vice President and Chief Financial Officer. Each of us is going to make a presentation, after which we will take your questions. As you all know we reported, after the close yesterday, on the fourth quarter of our Fiscal 2008 as well as on the 12 month period. Sales in the fourth quarter were $18,131,000 and for the Year were $72,371,000. GAAP earnings in the fourth quarter were $1,340,000, equal to $0.18 per diluted share, and for the year they were $0.57 per diluted share. You’re going to hear more about the quality of the earnings when Joe O’Connell makes his report. New orders tell an important story, for the year they reached $74, 393,000.00 and increase of nearly 11.5% and for the quarter they totaled $17, 421,000.00 an increase of slightly less than 6%. And as you will hear from Everett Pizzuti, when he makes his report, there were some interesting dynamics at work late in the quarter due to the delays in both the Airbus A380 and the Boeing 787 airplane programs as well as uncertainties about Medicare compensation for home sleep studies, which are now probably close to being settled as a result of the decision announced last Friday by the Centers for Medicare and Medicaid. We have some new contracts for our so called ruggedized which include our very successful cockpit printers and they will be formally announced as soon as we get clearance from the company who issued the contract to us. The quarter and the year were enhanced by the star performance of our QuickLabel Systems product group, which develops and markets color label printers and consumables, our QuickLabel group nearly 17% in the quarter and about 23% for the year. Export sales led by our European branch offices, which did an outstanding job, grew by more than 21%. The board of Astro-Med decided that with our strong cash position and with an excellent outlook, the time had come to increase the cash dividend by 20% to $0.06 per share, effective with the dividend that will be paid on April 1. At this point I’m going to ask Everett Pizzuti our President and Chief Operating Officer to make his report. Everett, fire away.
Everett Pizzuti: Thank you Albert and good morning everyone. As usual, our QuickLabel products continue to comprise the largest part of Astro-Med sales at 53% and with high double-digit growth. Grass and Test and Measurement products are nearly equal in size at 24% and 23% of Astro-Med sales respectively. The fourth quarter was very successful for us except for our Grass products as I will explain a little later. The great success of QuickLabel products in the fourth quarter and the year is of course attributable to our color printers and associated consumables. The Zeo! inkjet color printer and the Vivo! laser color printer and the several thermal transfer type color printers are all strong contributors. With these various printing technologies, we have a color printing solution for nearly every niche of the market place. We are alone in the color label printer market with this full array of printers. Our strategy is to produce printers and consumables that are designed to work together for optimum color label printing, making it difficult for pirate brand consumables to take market share from us. Although long-term prospects for growth are strong, we do see some softening this year as a result of the present US economy. The export market however, was very strong in the fourth quarter and is on track to continue with strength in the new year. Meanwhile, we are investing in new product development to reach even more markets of color printing and this development is not only for new printers but also new consumables that are engineered for specific applications in combination with our printers. Now turning to Grass; as mentioned in our news release, we began to see a postponement in the opening of new sleep labs as well as in the expansion of existing labs during the last several months. Many of our quotations for sleep monitoring systems for these labs were essentially placed on hold. And the reason for this, with the uncertainty of the impending decision by Medicare to decide whether or not to reimburse for sleep studies to be performed in the patients’ home. Let me quote from a Wachovia report from a survey of sleep labs published in February of this year “Sleep lab expansion looks likely to slow. Sleep labs in our survey report expanding bed capacity by a strong 29% in the past, but plan to expand beds by just 13% in the next 12 months and home testing may be to blame. We think that the sleep labs are limiting their expansion plan given Medicare’s proposal to cover home testing for obstructive sleep apnea. So will market come before the storm of home testing? The US market slowed sequentially by about 150 beds from September to December quarter, so it is possible that we are already seeing an impact”. So, this decision by Medicare, as Albert mentioned, was issued last Friday, March 14, 2008 and as many suspected Medicare did indeed approve home sleep testing using certain types of screening devices. Now we hasten to point out that Astro-Med has been anticipating the approval of home screening for sleep testing for a couple of years. And so, we developed new sleep products with portable ambulatory applications in mind. Two weeks before the March 14 announcement by Medicare, we introduced our new SleepTrek®3, a portable screening device specifically designed for home testing. We have been receiving many inquiries for the SleepTrek®3 and we expect it to nicely fulfill the emerging needs of this new market. But there are still some questions to be answered by Medicare, including the amounts to be reimbursed for home testing, as well as which types of physicians can subscribe the service and treatment. Based on this, we do not see the sleep market growing again until some time in the second quarter. Now turning to Test and Measurement; Test and Measurement orders and sales continue strong and are somewhat unaffected by the economy, especially as we add new products from more applications. During the last few months we introduced three new data recorders the Dash 32HF, the Dash 20HF and the Dash 2EZ+, all three of which are shipping in the first quarter of this year. Our ruggedized products, which include the cockpit and cabin printers, are strong contributors to the new growth of our Test and Measurement group. In addition to military and big commercial jet contracts, we recently announced our entry into the smaller business jet market with a contract for the Bombardier Global Express business jet from contractor Rockwell Collins. Our sales and marketing team is now in discussion with several other manufacturers of business jets, as we continue to grow the ruggedized product group. In summary, our outlook for the new year is somewhat guarded as the new developments in the sleep market emerge, but we are optimistic that our new product introductions, as well as the new cockpit and cabin printer contracts will help us to maintain steady solid growth. And that’s my report. Albert?
Albert Ondis:
Joseph O’Connell: Thank you, Albert. Good morning everyone. I’m very pleased to share with you Astro-Med’s financial results for the fourth quarter and for the twelve months ended January 31, 2008. As you’ve just heard, the company achieved record sales in the fourth quarter with billings reaching 18,131,000 representing a 3.2% increase over the prior years fourth quarter sales of 17,568,000. From a channel perspective, our domestic sales in the quarter were 12,281,000 normally flat with last years fourth quarter domestic sales, whereas as you heard, the export shipments were 5,850,000, that’s an increase of 12% from the prior years export sales for the fourth quarter. Foreign exchange contributed some 435,000 or approximately 2% to the fourth quarter sales. We profiled the fourth quarter sales by product group with the QuickLabel Systems, as you heard, dominating the sales at 9,648,000, representing an increase of 16.8% over the prior year QuickLabel Systems sales in the fourth quarter. The sales growth was seared both with the hardware printer systems and services, which were up 16.7, as well as the consumable sales which were up 16.9% quarter over quarter. Test and Measurement product sales were 4,081,000 in the fourth quarter and that’s behind last years fourth quarter by some 7.2%. Here hardware, recorder and printer systems were down 5.1% from the previous year, primarily due to the soft sales of the Everest product line. Consumables sales, although a small portion of the total T&M sales, were also down slightly. Sales of the Grass Technology product line in the quarter were 4,401,000. It’s lower than last years sales by some 10.1% and as you heard, the hardware systems were behind last year by 6.6% as customers in our clinical markets deferred the sleep system purchases in the quarter until the Centers For Medicare and Medicaid services announced their reimbursement decision on home sleep testing as Everett reported. The consumable sales, although down in the quarter, really do not represent a trend, it’s more of a recycling order in terms of the distribution. Gross Margins: The gross profit margins in the quarter were healthy at 8, 062,000, representing a 10.5% increase over the prior year fourth quarter gross profit and reflecting a margin of 44.5% as compared to the prior years margin of 41.5. The improved margins really are an outgrowth of product mix, better absorption and lower manufacturing costs. Operating Expenses: The company incurred operating expenses in the quarter of 7,485,000 as compared to the operating expenses in the prior year’s quarter of 6,166,000. Included in this years operating expenses is a restructuring charge of 515,000 relating to the closing of the company’s sales and service offices in Italy and the Netherlands. If we exclude the restructuring charges, operating expenses in the quarter were 6, 970,000, that’s a 13% increase in spending from last year. The income is traceable to selling and G&A expenses were a combination of selling and marketing [initiatives] and some professional service fees related to the Sarbanes-Oxley 404 compliance project drove the increase. Operating Income: Income from operations in the quarter was 577,000 as it compared to 1,133,000 in operating income reported in the fourth quarter of the prior year. Excluding the one time restructuring charges of 515 , in calculation the non-GAAP operating income of 1,092,000 for the fourth quarter, this quarters income from operations is down some 3.6% from the prior year, which generates an operating margin of 6% on sales against last years 6.4% operating margin. Other income in the quarter was 222,000, that’s up 14.4% over the prior years other income of 194,000.That other income includes interest, favorable foreign exchange, as well as some non-operating income. Tax Provision: The company reported a net benefit of 541,000 in the quarterly federal and state tax income accounts. The result includes a normalized tax provision of 397,000 or roughly an effective tax rate of 30%, as well as adjustments in tax benefits of 739,000 and 199,000 related to the consolidation and the closing of the company’s Italian and Netherlands sales and services offices. The prior year’s tax provision was 528,000 reflecting an effective tax rate of approximately 40%. Net Income: The company’s net income in the quarter on a GAAP basis is 1,340,000 representing some $0.18 per diluted share however, on a non-GAAP basis, by excluding the one time restructuring charges and the related tax benefits from the disposition of the company’s Italian subsidiary, net income from the quarter would be 917,000 equal to $0.12 per diluted share. These results compare favorably with the prior years net income of 799,000 or $0.11 per diluted share. Prior to reviewing the balance sheet accounts, I will comment on the company’s financial results for the Fiscal year end. Annual Results: Astro-Med reached a new threshold in annual sales during Fiscal 2008. Sales in the 12 months ended 1/31/2008 were 72,371,000, that’s a 10.5% increase over the prior year’s sales of 65,519,000. This growth rated matches last years growth rate of 10.5%, growth rate for Fiscal 2007 over Fiscal 2006. In our domestic channels, the company’s sales volume was 50,479,000 representing an increase of 6.3% over the previous year. Export sales, which were particularly strong at 21,892,000 representing some 30% of our total revenue, increased 21.5% over the prior years export sales. Favorable of foreign exchange did contribute 1,272,000 or 2% to our total annual sales. Looking at the annual sales by product group has QuickLabel Systems at 38,131,000, representing over 50% of the company’s annual sales and increasing 22.6% from the prior years QuickLabel system sales. Both hardware printer systems and service and the related consumable products realized double-digit growth rates. Printer systems and service grew 35.7% where as the consumable product lines increased 17.8%. The Test and Measurement product group also reported growth in sales during the Fiscal year led by the double-digit growth rate of the ruggedized product line of printers and switches together with the continued growth rate of the Dash line of portable recorders. The T&M hardware systems and services increased 6% from last year. This year’s growth rate in hardware systems and services was tempered by a decline in the Everest product line of the recorder workstation. If we exclude the sales of the Everest product line from the total, T&M hardware systems and services increased 23.8% from the previous year. Grass Technology sales were 17,722,000 for the year. This year’s sales volume is lower than the prior year by some5.2%, as you heard. The lower sales level is confined to the hardware systems and specifically the clinical markets where sleep labs and hospitals deferred decisions on capital purchases until the reimbursement issue on home sleep testing has been determined by CMS. Consumable sales, especially electrode sales, were up year over year. Gross Profits: The company achieved a gross profit for the year of 31,111,000, representing a 15.2% increase from the prior year’s gross profit and providing a margin of 43% against the prior years gross profit margin of 41.2%. The improved margins really are the outgrowth of product mix, factory through put, increased absorption and normal increases from manufacturing costs. Operating Expenses: Spending and selling, G&A and R&D functions rose 14.5 to 26,912,000 for the 12 months ended however, as mentioned earlier, 515,000 of that increase relates to the restructuring charge mentioned earlier. Excluding a restructuring charge, this year’s operating expenses consumed some $0.365 of the sales dollar for the year, up from the prior years $0.358 of the sales dollar. The increased spending is traceable to personnel, commissions, professional service fees, including legal and accounting and specifically related to the Sarbanes-Oxley 404 Compliance Initiative. Operating Income: Income from operations this Fiscal year was 4,199,000, which includes the one time restructuring charge of 515,000. Again, by excluding the one time restructuring charge, the company’s normalized operating income for the year would be 4,714,000, with a related operating margin of n6.5%. The prior years operating income was 8,741,000, which includes the gain of 5,252,000 realized on the sale of the company’s real estate in Braintree Massachusetts. Excluding the real estate gain, the prior years operating income was 3,590,000, or an operating margin of 5.5%. If we exclude these one time charges and the gains from the respective years, the operating income this year is up 35.1% from the previous year. Other Income Net; Other income net for the year was 855,000, which is comparable to the prior year and as mentioned earlier it includes interest income, gains associated with foreign exchange rates, as well as miscellaneous income. Income Taxes: The company’s tax provision for Fiscal 2008 was 744,000. This amount includes the company normalized tax provision with an effective tax rate of 38% coupled with the tax benefits realized from the restructuring and the disposition of the Italian subsidiary, as well as earlier benefits from favorable resolution of certain tax examinations. Net Income: Astro-Med earned 4,310,000 for Fiscal 2008 or $0.57 per dilute share however, as profiled in the press release; the company’s pro forma net income is 3,441,000 or $0.46 per diluted share. The pro forma net income excludes financial impact from the restructuring and the tax benefits. In a similar pro forma profile, the prior years net income would reflect a pro forma net income of 2,703,000 or $0.37 per diluted share. The year over year improvement in earnings per share would be 24.3% for the Fiscal year 2008. Quickly moving to the balance sheet, the company’s balance sheet remains healthy at the year end with cash and marketable securities at 17.6 million. Our accounts receivable rose 5.3 to 12.8 million, reflecting some 58 days sales outstanding, which represents an improvement of six days from the prior year end. Inventory investment rose 16% to 14.1 million, representing 126 days on hand. The company added some $4, 700,000.00 worth of fixed assets during the year, a lion’s share of those related to the purchase of real estate for 3.7 million and some investments in information technology and machinery, equipment and tools and dies. We received 830,000 in cash from employee exercising stock option during the year. Also during the fourth quarter we purchased, in the open market, some 55,300 shares of the company’s common stock. The treasury stock now stands at 1,179,000 shares. Dividends for the year were 1 million 4, were paid to shareholders during the year at a rate of $0.20 per share. Lastly and a couple of other small points of interest; our population declined from 402 folks to 397 at year end. Our sales per employee though improved some 12% from 163,000 up to 183,000 and our backlog rose some 16% at year end to $6.9 million. That concludes my financial review, Albert.
Albert Ondis: Well thank you very much, Joe. And now I think ladies and gentlemen, we are ready to take the questions. Eric, if you can assist us in getting questions going we would appreciate it.
Operator: Yes, sir. Ladies and gentlemen we will now begin the question and answer session. (Operator Instructions) Our first question comes from Joe First with First Associates. Please go ahead.
Joe First-First Associates: Good morning, gentlemen. Could you expand a little bit on the potential market for this new product in the sleep testing area?
Albert Ondis: Yes, SleepTrek®3? Everett.
Everett Pizzuti: Yes, the SleepTrek®3 is a new product that we’re just introducing, has a list price of just under $4000.000. It’s yet to be determined exactly how the market is going to roll out, but the question is who is going to be able to write and prescribe home sleep testing. Will it be just the sleep labs that exist now or will it be opened up to general physicians and other [indiscernible]. Cardiologists, Internists and this sort of thing and if it does, that will really expand the market even further. Now for the first time physicians will be able to screen a larger portion of the population to find those patients who have some kind of a sleep disorder and then they need to go into a full lab testing and so it may even bring more business to the existing sleep labs. It’s a little bit up I the air right now because we’re still waiting for Medicare to come out with final decisions on how much reimbursement will be for each one of these home studies and what categories of physicians will be authorized to prescribe the services. But whatever happens, Astro-Med is prepared, because we are well into the sleep lab market and w have new products there and we’re well prepared for the home studies market with the new SleepTrek and other screeners that we already have in our product portfolio.
Joe First-First Associates: Are there other competing products for the homes study market now?
Everett Pizzuti: Yes, there are other companies that make various kinds of screeners and there are many different categories of screeners, but we have priced ours very competitively, because unlike most of our competitors, we manufacture everything ourselves and we have very good control of our costs and therefore are able to come out with very competitive products without jeopardizing our profits. And so, we probably have a selling price edge on competitors and yet we have some very novel features as well. So we think we’re well positioned to compete, even though there are several other players.
Joe First-First Associates: Okay, thank you. Do you have any idea on the timing of when Medicare might decide this?
Everett Pizzuti: Well, it’s a little bit difficult, it’s probably going to be three or four months before they issue all of the answers that are needed here.
Joe First-First Associates: Okay, I’ll let someone else ask a question before I, I have others, but let someone else ask.
Everett Pizzuti: Well, thank you Joe.
Operator: (Operator Instructions) Our next question comes from Robert Hoffman with Princeton Capital Management. Please go ahead.
Robert Hoffman-Princeton Capital Management: Good morning. I’m, as you know Princeton owns a fair amount of the shares and I’m a little new to the story, so pardon my basic questions here, but can you give me a sense of the price tag on the ruggedized or I guess the various types of planes. Is it a different unit that unit that would go into a 787 versus a Bombardier corporate jet or is it basically the same unit
Everett Pizzuti:  Well, we can tell you that the basic printer technology is our standard product. And the modifications that we make for the different aircraft have more to do with the types of connectors, the number of ports, front panel configuration. But the basic printer technology is our standard machine. But I can tell you that an average selling price is probably between 15 and $16,000.00 per printer.
Robert Hoffman-Princeton Capital Management: And as it gets rolled out is this something that will be or is mandated or, I mean in the grand scheme of 787, 15,000 is nothing. Is this something that you anticipate will go on every delivery out there and if not why not?
Everett Pizzuti: Okay the printers have traditionally been more options as opposed to mandated, however with some of these new larger aircraft, they’re pretty much standardizing. For example on the A380, which is one of the first commercial contracts that got, there are two that are designed into the cockpit. And then, in addition to the cockpit printers, there are also printers used in the in-flight entertainment in the cabin and on the A380 there’s a minimum of two used there. So the market then is four printers per A380 sold. In the case of the 787, again they’re beginning with a standardizing on the printer and in the cockpit is one and in the cabin there is one. You know the 787, which is going to go into production, we’ll be shipping production quantities say next year in 2009, Boeing already has over 800 planes on order and so there’s excellent potential there as well as the A380. The business jet market that we’re just beginning to get into is also very big. Between companies like Gulfstream and Emberair in Brazil as well as Bombardier the quantities are very, very interesting going forward.
Robert Hoffman-Princeton Capital Management: And again, do you anticipate that these will be mandated or will they always be more of an option?
Everett Pizzuti: They’re typically, on the business jets they’re more of an option, but the reason whey they’re selecting these options now is because our technology has brought to the table more capability. In the past these printers, which have been made by other companies, have been mainly textual printers, printing lines of type. But the technology that we’ve brought to the table offers graphic images along with high quality text printing and so they get more comprehensive reports and there’s a better need for them; for example they’re able now to print airport landing strips which are constantly changing and weather maps with variable printing gradations that are now achievable by the graphic imaging of our printers.
Robert Hoffman-Princeton Capital Management: Now tell me why if I’m a pilot, I would prefer it to be a printed out version of the landing strips versus the one that’s popping up on the panel on my dash?
Everett Pizzuti: Well because among other things they want to make notes of things and be able to study these things in advance, because these landing strips are changing, even at traditional airports. There are always different characterizations that need to be shown and annotated on the chart. So although they can see these things on displays and they have all kinds of nice color displays in these new cockpits, the need for hardcopy is very important and also for legal reasons for the FAA. And of course the paper is another item that we sell, it’s a consumable and…
Robert Hoffman-Princeton Capital Management: Yes, that was my next question and again I’m sorry this is a basic question. So a cockpit printer, is it printing constantly so that any flight will take up an x amount of consumable or is it an as needed…
Everett Pizzuti: Yes, it’s printed on demand, but there is probably a certain minimum number of sheets of paper, if you will, or pages of paper that will be used, consumed on each flight and we’ve begun to look at the multipliers here on printers per plane per hour and the resulting dollars in consumables gets very high as we add more printers and get into production on these new aircraft.
Albert Ondis: One of the other advantages of the printer is that it allows the planes to take off without hundreds of pounds of documents which are typically carried. These would be documents that would relate to the performance of all of the systems of an airplane, so that instead of having to open a series of manuals to look for a potential trouble spot, you can just pop a CD in a receiver and print out that portion of the manual or the instruction sheet that you might need. So the printer allows the plane to take off with a greater pay load because all of these documentations can be eliminated, as well as the resulting accuracy of the data is greater since it’s easy to keep track of the CDs. This is typically called the electronic flight bag. Years ago you would see a pilot hauling a large bag of documents with him into a plane, well that’s gone.
Robert Hoffman-Princeton Capital Management: Well does that make this even more compelling for a business jet, I mean where that 300 pounds is meaningful?
Albert Ondis: Absolutely, absolutely, it’s the weight and space businesses [flight bags] are quite small. And if you were to go into the cockpit of the large plane like the A380, even though it’s a mammoth airplane, we’ve all been inside these planes and the cockpit is very small. There isn’t much room, so eliminating flight bags and other documentation is a major factor so that these printers are, for all practical purposes, they are standard components of the newer airplanes. I think those that are in the cabins, which are used by flight attendants to print out things like itineraries and menus and flight transfer information, those are still optional. But those that are in the cockpit, for all practical purposes, are really mandatory. Unfortunately for us, the delays in the A380 and Boeing 787 mean that there has been some deferral of our sales through those delays, but we’ll catch up pretty soon.
Robert Hoffman-Princeton Capital Management: And in terms of retrofit, is it one of those things that you anticipate that over the next x number of years that these printers will be in most commercial airlines?
Albert Ondis: We think that the retrofit program will go into full swing. The only fly in the soup, with relation to retrofit, is that the older airplanes, which really are due to be retrofitted, do not have good miles per gallon and as a result we may see an earlier replacement of existing fleets by new, more fuel efficient airplanes. And as you know, the efficiency of the plane is only partly due to the efficiencies of the engine, much of it is due to the aircraft design itself and only a new plane can provide the kind of efficiencies that they’re looking for. But we are quoting on retrofitting both business jets and commercial airplanes and we’ll see how that goes.
Robert Hoffman-Princeton Capital Management: What is the determinant for that quote? Are you competing with somebody on price, is is the size, is it the, can you just give us a little color there?
Albert Ondis: Well typically the retrofitting involves a lot more than just putting a printer in there. It involves a replacement of all of the cockpit and the flight electronics so it’s a major expense. But we are doing business with the very contractors who would be doing that work. The contractors who are outfitting the new airplane, people like Honeywell and Rockwell and others would be the ones doing the retrofitting and those are the people that we are quoting to.
Robert Hoffman-Princeton Capital Management:  So a retrofit is not normally going to happen unless a plane gets new avionics put in, is that it?
Albert Ondis: That is absolutely right.
Robert Hoffman-Princeton Capital Management: Okay, great well I’ll get in the back of the queue, thanks.
Operator: Our next question is a follow up from Joe First. Please go ahead.
Joe First-First Associates: I noticed the administrative expenses and so on were considerably higher in the fourth quarter from last year. Is a lot of that due to the Sarbanes-Oxley compliance expenses?
Joseph O’Connell: Joe, a good piece of it is. In the quarter itself there’s almost a couple hundred thousand associated with that itself. And some of the other expenses, we had some incentive programs that really did not get achieved until the fourth quarter, so in terms of being able to match those kinds of expenses with the accomplishments, that tended to increase the overall spending.
Joe First-First Associates: I thought that the Sarbanes-Oxley was sort of a one time type expense.
Joseph O’Connell: This year, for the most part, we think so. We think we’re in pretty good shape with respect to being able to attest to the internal controls of the company, but it’s been an ongoing activity for the entire Fiscal year, but it did pick up steam during the fourth quarter.
Joe First-First Associates: You mentioned in your press release that you expected a continued growth in sales and profitability. Is the profitability predictor because of the fact that you’ve sort of gotten over the 70 million number that I’m reading, that’s been talked about for a couple of years? I mean and once you got over this thicker number that a little bit more would drop to the bottom line, is that the basic reason for that?
Joseph O’Connell: Some of that, but also I think some of the things, Joe, that we’ve done in the factory to reduce and cut back on our manufacturing costs, I think that also has been manifest in some of the numbers used around the fourth quarter. I think there’s been a, as you recall, in the past we’ve gone ahead and done a major overhaul of the factory itself in terms of the layout and the operations and the equipment. But I think we’re confident that we have a number of processes that we’ll have in place here which should translate into improved margins going forward.
Albert Ondis: Well we moved up in the fourth quarter toward that figure we’ve been going for with respect to gross profit getting closer to 45% and we did have a nice improvement in the fourth quarter and the year as well. We believe as well as hope that we can continue that improving trend.
Joe First-First Associates: You mentioned that, in the airplane business with the printers, you thought you would be catching up shortly, didn’t you say catching up shortly? You were talking about sometime in the next year this business will start picking up.
Albert Ondis: Yes, we are confident that once the air worthiness of these new planes has been proven and once they work out some of their production problems, both Boeing and Airbus will scramble very hard to ramp up production of the airplanes. And we were of course disappointed that there were delays in both the Airbus and 8380 and the Boeing 787. Bombardier airplane appears to be on track. The Airbus A400M, which is another contract that we’ve had for awhile, was also significantly delayed by engine problems have since been resolved and we think that they’ll begin turning those airplanes out pretty well. So later this year and certainly as we go forward and many years there after, we’ll see a rapid build up of revenue from the ruggedized product.
Joe First-First Associates: I think you have a very good story to tell finally, but if you look back you will see your stock price is the same price now as it was four years ago.
Albert Ondis: We think it’s a little lower as a matter of fact.
Joe First-First Associates: Yes right, I was being kind. But yet your business has improved dramatically. Are you starting to do more things to get your story out to the street and get more people aware of your company, because most people have just never heard of you?
Albert Ondis: Well we are, we’re continuing to go into conferences with the help of Berger Associates, Andy and his father, Stan. We’re going into a new conference early in April, the Breilly conference in Las Vegas beginning April 1st and we are going to continue to make presentations to select groups of people that we will be visiting and revisiting with the help of the Berger group and we just hope that as a result of that, plus continued good performance that results will happen. We’re also planning an investor day and that will be later this year, I think it’ll be in May, Joe?
Joseph O’Connell: Perhaps we’ll be closer to June on that.
Albert Ondis: June. So we’re going to have an investor day here at Astro-Med and we’ll invite people to come in and walk through the factory and meet more people and see some of the products that we’re developing and have developed in our shipping. So we’re hopeful, Joe, that as a result of all these activities, that we’ll gain a little more recognition. But clearly the market likes the big caps and so we have to try to find a way to join the big caps, I guess or become a big cap.
Joe First-First Associates: Okay, well that’s an option too. Thank you.
Operator: Our next question comes from Dennis Scannal with Rutabaga Capital. You can go ahead.
Dennis Scannal-Rubataga Capital Management : Yes good morning, everyone.
Albert Ondis: Good morning, Dennis.
Dennis Scannal-Rubataga Capital Management : I just, I got on the call a little late and again, I definitely see the progress that the company’s made this year, but maybe this was addressed. But the quarterly revenue number was a little shy of what you had guided to following the November call and I’m just curious, was that predominantly because of Grass or was there other things or were there push-outs on the ruggedized product?
Albert Ondis: I think it was really a combination of two things, the push out of the ruggedized products probably cost us in the neighborhood of 0.5 million or more, but the big culprit was really the Grass story, which you may not have heard and that relates to the home sleep studies, which Everett if you want to telescope that into a few words perhaps we can help Dennis…
Everett Pizzuti: Yes, just briefly Dennis, what happened was for the past few months, the sleep industry, the sleep labs in particular, have been a little bit hesitant about expanding their labs or opening new labs. And the reason why they were reluctant was because there was an impending decision by Medicare as to whether or not they were going to reimburse for home studies for the first time and so the labs were waiting to find out whether or not that was going to affect their business. And so finally on March 14, last Friday, the CMS the Medicare folks down in Washington DC did issue a directive that for the first time reimburses home sleep studies with certain types of medical screening equipment. And we had been anticipating this decision ourselves and so over the years we developed portable ambulatory sleep screeners that would be useful for this market as well as the lab market. But, because of that delay, I would say that we missed shipping a little over a $1million of Grass sleep systems in the fourth quarter and so between that delay of Grass and the delay of the aircraft, our fourth quarter was not as great as we expected it to be and were prepared to have.
Dennis Scannal-Rubataga Capital Management : Okay, fair enough. That’s very helpful and I had caught some of that before. And just one last thing, I think Joe had mentioned that you all just purchased 50,000 shares or so of stock during the quarter. Is that something that you’re looking to step up or is it more an opportunistic thing when you see the stock drop?
Joseph O’Connell: Dennis, it’s more an opportunistic situation that we have. What we’ve done is when those opportunities come along, we’ve gone ahead and try to respond positively.
Dennis Scannal-Rubataga Capital Management : Okay great, that’s it for me. Thank you.
Joseph O’Connell: Thank you, Dennis.
Operator: Our next question is a follow up from Robert Hoffman. Please go ahead.
Robert Hoffman- Princeton Capital Management: Yes, switching gears to the QuickLabel. Again, my lack of real knowledge of your business; can you just kind of walk me through, growth from here is it same number of customers putting it on different products, or more products, more customers, new products, just give me some flavor of how that’s growing there?
Albert Ondis: Well we think very strongly that the surface for the use of color printers in overall commerce has just been scratched. We think there’s alot of room for us to grow. And people think when we ask, well who uses these color printers, the answer is really everybody.
Robert Hoffman- Princeton Capital Management: Can you give me some examples?
Albert Ondis: Anybody who make a product that requires labeling, whether it’s a consumer product such as lipstick, or food, or cereal or beverages, or whether it is an investor product like an electric motor or whether it’s a piece of wearing apparel, garments and so on, all of these things have to be labeled and increasingly, one of the many things that’s working for us in the retail field is that as the trend increasingly swings towards do it yourself buying, people are influenced by the appearance of the label. And everybody who makes products that are offered for sale wants to enhance the appearance of the product, so they are looking to us to find improved ways of making the labels more and more colorful with more information on them and so we work ceaselessly to develop printers that run faster, that make more attractive labels and provide a wider range of colors and there are many niches that we are serving. Some of them are very small from the people who make fudge in a kitchen and desire to place an attractive label on it, to large companies that make things like automotive tires, that make them by the millions and we have, we feel, a range of products designed to satisfy all of those many applications. And quite recently, for example, we have seen an attractive piece of growth in producing labels for the wine industry. And if you go to our web site, we have a very nice video up there which describes, in the words of the winery itself, how important our Vivo! printer is to their business. And these are some of the places where these color label printers are used.
Joseph O’Connell: And of course, we make the consumables as well and we try to provide a level of service that makes it attractive to the people who buy our printers, to return to us for the ink as well as the labels.
Robert Hoffman- Princeton Capital Management: So are you, I used to be fairly heavily involved in Paxar whose been taken up by Avery. So is that a competitive printer?
Albert Ondis: Yes, a competitor. The Paxar printer is a competitive printer and as you know they exclusively service the apparel industry. We compete with them and with Avery. Before the acquisition by Avery, we were suppliers Avery and interestingly, we are continuing to sell some of our printers to Avery, because a lot of people prefer our printer to a Paxar.
Robert Hoffman- Princeton Capital Management: Now, especially in the Paxar business, their labels effectively have to get priced down to pennies or fractions of pennies. Is that kind of the difference between what your target market is where I guess it really depends on the price and the visibility of the label? So a $20.00 bottle of wine where your people are looking at the label, is more important on a tire versus a pair of blue jeans?
Albert Ondis: Interestingly, the tire labels are quite attractive, they’re quite large and they are printed on a premium medium; which you’re quite right, when it comes to the apparel industry where the labels are typically quite small and the emphasis is on cost, that market is of interest to us and we try to service it. But the more interesting market is the market for premium labels, where the people who are labeling the product realize that they can greatly enhance the market value of that product by putting a quality label on the product. The wine industry, for example, we have a wide range of label bases including some that emulate an antique appearance, as well as some that are very glossy and very shiny and relatively costly to apply. But they are looking for more than something that just says on it wine, you know Merlot wine 1999 vintage, they realize that the silent selling of the label is important to their success. 
Robert Hoffman- Princeton Capital Management: Thank you.
Operator: Our next question comes from [Charlie Doe], a private investor. Please go ahead.
[Charlie Doe] – Private Investor: Good morning. I just wondered if you could comment on when you’ll be releasing earnings projections for this year.
Albert Ondis: Yes, at the end of the first quarter, when we report the first quarter. That, Charles, has been our tradition for a number of years. We will give our estimates of both revenue and earnings for the 12 months when we report the first quarter.
[Charlie Doe] – Private Investor: Great and one more question. What would you say is the expected annual industry wide sale for the home sleep monitors, you know once you get to a full year production in 2009?
Albert Ondis: That’s going to be a very difficult question to answer. We’re selling this product for $4000.00. We’ve had some inquiries that have been for large numbers of these. We had one inquiry which was for 2200, we’ve had some in 2200 separate monitors, we’ve had others for two or three and it’s still uncertain. As Everett said, we believe that it will be two or three months, maybe more, before a pattern emerges, because in part we don’t know which physicians will be qualified to prescribe this, whether you have to be a registered sleep doctor or whether an internist, for example or an ear nose and neck and throat man can do it, we just don’t know. And I think that the Medicare people deliberately left it indefinite. I think they want to hear what the physicians will be saying. But, we’re prepared to make large quantities of them or small quantities as the market will demand from us.
[Charlie Doe] – Private Investor: Okay, thank you very much.
Operator: (Operator Instructions) And gentlemen, at this time I am showing no further questions in the queue. I’d like to turn the call back over to you for any concluding remarks you may have.
Albert Ondis: Well I want to thank you one and all for participating today. I would like also to invite you to visit our annual meeting which will be on May 13 at our headquarters in beautiful Rhode Island. We look forward to seeing you there or perhaps in June at our analyst day meeting. Thank you once again and we look forward to talking with you and seeing you soon. Bye.
Operator: Ladies and gentlemen, this does conclude the Astro-Med fourth quarter and annual fiscal year 2008 conference call. You may disconnect. NH2 would like to thank you for your participation. Have a pleasant day.